Operator: Hello, and welcome to JELD-WEN Third Quarter 2025 Conference Call. Please note that this call is being recorded. [Operator Instructions] Thank you. I'd now like to turn the call over to James Armstrong, Vice President of Investor Relations. You may now go ahead, please.
James Armstrong: Thank you, and good morning. We issued our third quarter 2025 earnings release last night and posted a slide presentation to the Investor Relations portion of our website, which can be found at investors.jeld-wen.com. We will be referencing this presentation during our call. Today, I am joined by Bill Christensen, Chief Executive Officer; and Samantha Stoddard, Chief Financial Officer. Before I turn it over to Bill, I would like to remind everyone that during this call, we will make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties, including those set forth in our earnings release and provided in our Forms 10-K and 10-Q filed with the SEC. JELD-WEN does not undertake any duty to update forward-looking statements, including the guidance we are providing with respect to certain expectations for future results. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for the results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measures calculated under GAAP can be found in our earnings release and in the appendix of our earnings presentation. With that, I would like to now turn the call over to Bill.
William Christensen: Thank you, James, and good morning, everyone. Before we begin, I want to once again recognize our entire team for their ongoing commitment and continued hard work in what has remained a challenging environment. The past quarter has tested our organization in many ways. I'm grateful for the dedication, resilience and collaboration shown across every part of JELD-WEN. It is because of their continued efforts that we remain able to navigate this environment and position the company for long-term success. The third quarter, both in Europe and North America, was marked by further softening in market conditions and an overall degradation in demand trends. While we had anticipated stability at low levels both new construction and repair and remodel activity weakened further. We also faced operational challenges that limited our ability to capture additional market share with customer orders coming in below expectations. As a result, our performance fell short of our plans, and we are taking clear actions to address the areas that need improvement, strengthen execution and ensure that we are better aligned with the current market conditions. We continue to experience price cost headwinds across several areas of the business. Inflation in both labor and materials has persisted and given current market dynamics, we have seen some pushback on both tariff-related pricing actions and pricing increases to offset market inflation. These factors have created additional short-term margin pressure, which we are actively working to offset through cost reductions, operational efficiencies and focused performance improvement initiatives. Importantly, we remain confident that the steps we are taking will help us better balance our cost structure with current demand while protecting our long-term strategic priorities. Turning now to Slide 4 and our third quarter highlights. The quarter reflected a more difficult backdrop than anticipated, driven by softening demand and continued inflationary pressure. In response, we are taking meaningful actions to address our cost base, including approximately 11% reduction of North America and corporate headcount. Additionally, we are preserving liquidity while continuing to advance our transformation efforts. As part of that work, we are announcing a strategic review of our European business, evaluating all potential alternatives to strengthen our balance sheet and sharpen our strategic focus. While the process is in its early stages and there is nothing further to announce at this time, we believe this review will allow us to effectively address our upcoming maturities and enhance our long-term balance sheet flexibility. We are also evaluating additional options around smaller noncore assets such as our distribution business and select sale-leaseback transactions, but have nothing specific to announce at this point in time. Our liquidity position remains strong with approximately $100 million in cash and approximately $400 million of revolver availability. As a reminder, we have no debt maturities until December 2027. Importantly, our only relevant covenant requires an approximate minimum of $40 million in total liquidity compared to our current position of approximately $500 million. We also continue to strengthen the North American team with the addition of Rachael Elliott as EVP of North America. Rachael brings broad experience from our time with other notable building products companies and we are excited to have her join the organization. While the near-term environment remains uncertain, we continue to focus on what we can control: improving execution, strengthening operations and ensuring a strong financial foundation. These actions are designed to ensure that we remain well positioned to capture growth as market conditions improve. With that, I'll hand it over to Samantha to review our financial results in greater detail.
Samantha Stoddard: Thank you, Bill. Turning to Slide 6. As Bill mentioned, market conditions remained challenging throughout the quarter, and our results came in below our internal expectations. The shortfall primarily reflects softer market demand, operational challenges that limited our ability to capture incremental share as expected and ongoing price and cost headwinds across several categories. Revenue for the quarter was $809 million, with core revenue down 10% year-over-year. This decline was driven mainly by lower volumes in both North America and Europe as market softness more than offset the benefits from our cost reduction initiatives and productivity efforts. Adjusted EBITDA came in at $44 million or 5.5% of sales and was up sequentially from the prior quarter, although below prior year and below our expectations. The lower margin primarily reflected continued price/cost pressure, unfavorable volume and staffing levels that were set in anticipation of market share gains that did not materialize. Turning to cash flow. Earnings pressure and continued investment in transformation initiatives led to negative free cash flow in the quarter. That said, working capital performance remained disciplined, contributing modestly to liquidity despite the softer sales environment. Our net debt leverage increased to 7.4x driven by lower year-over-year EBITDA rather than new borrowing. Reducing leverage remains a top priority for us as part of that effort, we have initiated a strategic review of our European segment aimed in part at addressing this elevated leverage and further strengthening our balance sheet. As shown on Slide 7, the revenue decline this quarter was driven primarily by lower volumes with core revenue down 10% year-over-year. The softness reflects continued market weakness and share loss, along with carryover from the loss of business with the Midwest retailer that occurred in the third quarter of last year. We also had a negative impact from the court order divestiture of our Towanda operations, which weighed on the year-over-year comparison. Product mix was slightly positive versus the prior year but the benefit was not enough to offset the volume pressure. In a few moments, I will provide additional context on the market factors influencing our performance and how we are positioning the business for the remainder of the year. As shown on Slide 8, adjusted EBITDA for the quarter was $44 million, a decline of about $38 million from the prior year. This reflects the continued softness in demand and the unfavorable price and cost environment that persisted throughout the quarter. Lower volumes were the main driver of the decline as reduced production levels weighed on earnings and more than offset the benefits from our ongoing cost actions. Product mix was slightly positive, but the benefit was not enough to offset the volume deleverage from lower demand. At the same time, price and cost pressures remain significant, particularly as labor and material inflation continued to outpace our ability to recover pricing in the market. These factors led to a sequential decline in margins and further compressed profitability year-over-year. Even with these challenges, we continue to make steady progress on our transformation and cost reduction programs, which provided a partial offset to these headwinds. We also delivered additional savings within SG&A reflecting disciplined expense control and execution of the cost actions we've put in place. Turning to our segment results on Slide 9. In North America, revenue declined 19% year-over-year, with volume and mix down 13%. The decline was driven primarily by weaker market demand while mix was slightly positive for the quarter. The remainder of the year-over-year decline reflects the court order divestiture of our Towanda operation. Adjusted EBITDA for North America was $38 million compared with $75 million in the same quarter last year. The decrease was largely the result of lower volumes and operational inefficiencies associated with reduced manufacturing throughput in addition to the price cost challenges mentioned previously. These headwinds were partially offset by the benefits from our ongoing cost reduction and transformation initiatives. In Europe, revenue increased 2% year-over-year with volume and mix down 6%. As in North America, mix was slightly positive, but overall demand remained soft across several key markets. Adjusted EBITDA for Europe was $16 million, which was roughly flat compared to last year as the benefits of productivity improvements and cost actions largely offset the impact of lower volumes. Before turning it back to Bill, I want to take a moment to address tariffs, which continued to be an area of focus. If you turn to Slide 10, you'll see an overview of our current exposure under the most recent tariff framework. At current rates, we estimate the annualized impact of tariffs on our business to be around $45 million, with roughly $17 million expected to materialize in our 2025 results. While the situation remains fluid, we've been largely successful in passing through tariff surcharges to most of our customers. However, in recent months, we've begun to experience greater resistance from some of our larger accounts which has slightly tempered our overall recovery rate. From a sourcing perspective, our exposure remains relatively modest. Approximately 13% of our combined Tier 1 and Tier 2 supplier spend is subject to potential tariff impact. As we have previously stated, direct sourcing from China represents less than 1% of our total material spend. Even when including Tier 2 exposure, China accounts for about 5% overall. This limited exposure positions us well relative to others in the industry. Overall, while the tariff environment remains uncertain, we're staying nimble in our approach, actively managing near-term impacts and maintaining a disciplined focus on pricing and sourcing strategies that help mitigate cost pressures. With that, I'll turn it back over to Bill to discuss our updated market outlook and how we're positioning JELD-WEN for the path ahead.
William Christensen: Thanks, Samantha. Turning to Slide 12. I want to provide some perspective on how the market environment has evolved since our last update. Earlier this year, we expect the conditions to stabilize at relatively low levels during the back half of 2025. However, over the past 3 months, we've seen a notable deterioration across our core markets both new construction and repair and remodel activity have weakened further as both consumer confidence and housing affordability remain under pressure. In Canada, the slowdown has been especially sharp with housing starts down more than 40% year-over-year, reflecting the broader slowdown in the economy. Given these developments, we've updated our market outlook expectations. In North America, we now anticipate full year demand for windows and doors to be down in the high single digits compared to our prior view of a low to mid-single-digit decline. In Europe, we expect demand for doors to be down mid-single digits versus the low single-digit decline we previously forecasted. Across both regions, demand continues to be concentrated at the lower end of the market with affordability driving purchasing decisions and limiting overall mix-up improvement. Turning to Slide 13. I'll walk through our updated full year guidance. Following the significant market deterioration we saw during the third quarter, we are lowering our 2025 outlook to reflect current demand levels and operational performance. We now expect sales of $3.1 billion to $3.2 billion compared to our previous range of $3.2 billion to $3.4 billion. Adjusted EBITDA is now expected to be between $105 million and $120 million, down from our prior range of $170 million to $200 million. Core revenue is expected to decline 10% to 13% compared with our previous expectation of a 4% to 9% decline. This change is primarily due to 3 factors. First, we had limited success on converting the market share gains we had planned for and staff against earlier this year. Second, this revision reflects the further weakening in market demand that emerged late in the quarter and some of our own operational challenges. On sales, we faced continued pressure in a weak market and experienced a modest share loss tied to ongoing operational performance issues. Third, while operations are improving the pace of that improvement is not yet where it needs to be, and we continue to be focused on execution and consistency across the network. Because of these 3 challenges, we now expect a more typical seasonal pattern in the fourth quarter rather than the relative strength we had previously forecasted. We also anticipate continued negative price cost as pricing pressure has intensified, particularly around the edges of the market. At the same time, some of our larger customers are pushing back more forcefully on tariff surcharges, while cost inflation has accelerated across materials, freight and labor. On operating cash flow, we now expect the use of approximately $45 million compared to our prior forecast for a use of $10 million. This includes approximately $15 million of restructuring that will occur in the fourth quarter as part of our workforce reduction. Although EBITDA expectations have come down, we've taken a disciplined approach to working capital and our focus on cash management remains unchanged. We also expect capital expenditures of approximately $125 million, down from our prior forecast of $150 million, reflecting a tighter focus on critical investments. Looking ahead to 2026, while we're not providing formal guidance, we would expect CapEx to be lower than this year's level given the current demand outlook and our intent to align spending with market conditions. On leverage, we are actively addressing the issue. As part of this, we have announced a strategic review of our European operations. While we cannot predict the outcome of that process, it represents one potential avenue to help reduce leverage and strengthen the balance sheet. We continue to evaluate other strategic options such as selective smaller asset reviews and targeted sale leasebacks. Beyond the European review, however, we have no further updates at this time. Finally, I want to reiterate that we continue to maintain sufficient liquidity for the midterm. As of the end of the third quarter, we have not drawn on our revolver, and we are taking proactive steps to ensure our liquidity position remains strong as we navigate through this challenging environment. Turning to Slide 14. This chart bridges our 2024 adjusted EBITDA of $275 million to our 2025 guidance midpoint of $113 million. As shown on the left, the first step reflects the court order Towanda divestiture, which is expected to reduce EBITDA by about $50 million this year. The most significant change comes from market volume and mix, which we now expect to reduce earnings by roughly $100 million, reflecting the broad-based deterioration we have seen in both new construction and repair and remodel activity. We're also seeing a modest impact from share loss as operational challenges have limited our ability to recapture volume in several key product lines. Moving left to right across the chart, price and cost headwinds have intensified when compared to our earlier expectations. Competitive pricing pressure has increased, especially at the lower end of the market, while cost inflation in materials, freight and labor has accelerated. These dynamics, combined with lower base productivity driven by volume loss represent another significant drag on earnings. On the positive side, we continue to benefit from headwind mitigation actions and transformation initiatives, which together are expected to contribute about $150 million in savings this year. These benefits include both carryover savings from 2024 and the in-year actions already implemented. The remaining items include variable compensation and onetime reversals which represent a modest headwind and foreign exchange and other, which provide a small tailwind. Altogether, these factors bring us to our 2025 adjusted EBITDA guidance midpoint of $113 million, reflecting the additional price, cost, volume and productivity headwinds and that have emerged since our last update. Moving to Slide 15. The current results do not reflect the potential of JELD-WEN and are disappointing. We have begun and will continue to take broader actions required to change the trajectory of JELD-WEN, including addressing our cost base. First, we have initiated a strategic review of our European business, while the outcome of this review is not predetermined, we know that significant and difficult decisions must be made. Our European operations include well-known brands and highly skilled teams that have built leading positions in their respective markets. The strategic review will determine how we can unlock the value of our European assets to strengthen our long-term financial foundation. Second, we are rightsizing our North America cost base, which includes a headcount reduction of approximately 11% by the end of this year. The market for windows and doors has contracted sharply over the past 3 years, and we do not expect a rapid recovery. We can no longer maintain a structure designed for a level of demand not expected in the near-term. Third, we continue to simplify our product portfolio and are removing unnecessary complexity. Our portfolio breadth has added complexity that must be balanced with our customers' expectations on service and product costs. We will center our efforts on a defined set of core product families. And when customers need bespoke solutions, we must deliver them with precision and price them for their value. This will lead to improved service levels and better operating efficiency. These actions are not adjustments and will redefine how this company operates and competes. The current environment requires the painful but necessary decisions to ensure performance, accountability and free cash flow growth. As we execute on these significant changes, I want to take a moment to thank our teams across JELD-WEN for their dedication and hard work. Their focus and commitment are driving real progress in our operations every day. I also want to thank our customers for their continued partnership as we further strengthen our service and reliability. We remain confident that the actions we are taking today, both operational and strategic are setting up a stronger JELD-WEN in the years ahead. Thank you once again for your continued support and interest. With that, I will now turn the call back over to James for the Q&A.
James Armstrong: Thanks, Bill. Operator, we're now ready to begin Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Susan Maklari of Goldman Sachs.
Susan Maklari: My first question is going back to the share losses that you talked about in your prepared remarks. Can you give us a bit more color on where those are coming from? How they came through over the last quarter? And then understanding that you've had a more challenging time regaining some of that share. But just how do you think about the path from here?
William Christensen: So thanks for the question, Susan. A couple of comments. As you remember, there was a significant share loss last year with the Midwest retailer on the windows side of the business. So that laps in September. So we were still tackling that base effect in Q3. Second point, as we did note in our prepared remarks, pricing remains challenging across the market in North America, particularly and there have been some aggressive pricing actions around the edges from some competitors, mainly on the door side of the business. So we have seen specific regional share loss, but on balance, not material. And I think the third point is, as we continue to our simplification of our portfolio, our target is to reduce approximately 30% of our SKUs by year-end -- or not by year-end, excuse me, we're in the process of reducing 30% of our SKUs. We're about 50% of the way there. So we have been trimming complexity which allows us then to optimize our service levels into our customers. I think the last point is then just a weak overall market. And we've said we're really focused on rebalancing our shares with customers where we have strong door volume, we want to try and increase our window business and the other way around. We've actually made some progress on the Windows side. But in general, the soft market has created, I think, opportunities from aggressive pricing as we've talked about and our portfolio reduction, which is simplification driven has also led to a little bit of that. And as we look forward, we see that continuing into the fourth quarter from a market standpoint. Volumes remain soft. Nothing that we've seen in the month of October would suggest a different run rate. So we're expecting that through the end of the year, and you can see that on the bridge.
Samantha Stoddard: And just to follow up on that, Susan, when you compare kind of our previous guidance to the bridge that we're sharing in this earnings release, the share loss hasn't changed. That is, as Bill described. Most of this has already occurred. It's more about the volume mix that we expected to gain that did not materialize. That's the big change on that.
Susan Maklari: Okay. That's very helpful. And then turning to the productivity and the cost saving efforts that you have been working on, can you give us an update on where those projects are and how you're thinking about the carryover benefit into 2026? Appreciating you're not giving guidance for next year yet, but just any thoughts on those projects specifically where they're falling and the outlook there?
William Christensen: Sure, Susan. As you've seen on our guidance bridge, Page 14, we expect about $150 million to offset the various headwinds that we've laid out. As in prior years, we would expect from our transformation savings of about $100 million, roughly half of that to roll forward. And in addition, as we've announced and talked about today in the prepared remarks, there are going to be some pretty significant headcount reductions taking place in the fourth quarter of this year, and we would expect benefits of roughly $50 million as we're thinking about a full year impact 2026. So that's roughly $100 million currently. And I think we wouldn't want to give any more specific guidance than that.
Samantha Stoddard: And Susan, on that, the headwind mitigation of $50 million, that was already done and executed in the beginning part of this year. So taking effect in Q2. The transformation initiatives that we have, the $100 million, those are already underway delivering results, things like plant closures, automation equipment that is now up and running in production. So back to Bill's point, these are already done in our P&L. Unfortunately, the other items like the more significantly negative price cost volume essentially not the incremental share that we expected is offsetting those.
Operator: The question comes from the line of John Lovallo of UBS.
John Lovallo: And maybe just a follow-up on Susan's question and just to put a finer point on it. The outlook implies $55 million of productivity, SG&A and other in the fourth quarter. I think there's only been about $37 million year-to-date. So what is driving that ramp? It sounds like if I understood the answer to Susan's question that a lot of this is already baked and is just and is waiting to come through? Is that the right way to think about it?
Samantha Stoddard: Yes. So thanks for the question, John. It's -- a lot of the savings are fully baked. So the headwind mitigation, the transformation is fully baked. The actions that Bill described in the recorded remarks, are not expected to have a material impact in Q4. We would expect that full run rate going into 2026. Where you see in just kind of isolating maybe Q4 and looking at that year-on-year, the biggest drivers, I would say, on the negative side are the volume mix, which is, let's call it, in line with what we expected in Q3 in previous quarters. Price cost, unfortunately, being more negative. And part of that is some of the resistance on tariff surcharge pass-throughs. So that is more negative in Q4. And then the continued, let's call it, court ordered divestiture of Towanda's impact into our P&L. The mitigation efforts, those are -- as I said, they're already done and dusted and they're in the P&L. And so that's going to be helping to offset some of those.
John Lovallo: Okay. Maybe I'm missing it. So I'm still curious where that $55 million is coming from when there's been only $37 million year-to-date. What's driving that $55 million?
Samantha Stoddard: You're talking about the $55 million of negative base productivity.
John Lovallo: No -- of productivity savings. Yes.
Samantha Stoddard: Okay. So when you think about on the bridge, the base productivity, and I think this is what you're referring to, the negativity on that is coming from the fact that we staffed up our network in order to support incremental share gains that did not materialize. So in addition to essentially not having the volume flow-through, we then had costs we had to come out. So when you think about -- I think question, John, is looking at there's transformation of around $100 million and then there's going to be base productivity offsetting that. And I think that's where you get to essentially the combination of what you're driving at. So $150 million, right, let's call it, good guys from actions we've already taken, less that negative base productivity gets you to a net of, let's call it, $100 million.
John Lovallo: Okay. All right. We'll follow up on that. Just I guess the 39% reduction in EBITDA expectations since August, I'm curious, I mean has the market gotten that much worse? Or were there things that just were not foreseen by you guys that maybe should have been? I mean what drove that 39% reduction?
William Christensen: So let me start with -- let's start with sales, John, at the top. So in the second quarter, we had growth plans that we had staffed up for in our network, as Samantha mentioned, and they did not materialize. There's a couple of reasons for that. Number one, the market was softer in Q3 than we had anticipated. That's point #1. The initiatives also that we were running, there was a basket of different initiatives to start trying to offset some of the headwinds in the market, and we were really focused on product line initiatives and the market was pivoting and wanting more portfolio baskets in the different projects that they were running across the network. So we were product line focused and not portfolio focused, which created challenges for us to be able to drive that penetration and there was a lower take rate. And third, we've had some selective service issues across our network, and we've made a ton of progress and I would say we're very close to where we need to be, but we were still struggling in the third quarter and our ability to react on some specific areas was below our own expectations. So what are we doing? We're rightsizing our cost structure to market reality. We're further simplifying our portfolio as I've noted, we were taking about 30% of the SKUs out, we're about midway through that. And we've been really driving the operating model rollout across our network of distribution windows and doors manufacturing sites in North America. And so we missed the market downturn, John, we thought we're going to be able to compensate some of it with our own initiatives. We did not materialize based on limited take rates, and we staffed up for that, and that hit us hard in the third quarter, and we're correcting now that as we go into the fourth quarter.
Operator: Your next question comes from the line of Philip Ng of Jefferies.
Fiona Shang: You have Fiona on for Phil today. Just wondering on your full year EBITDA guide, can you help us understand how much of that is coming from Europe? We're assuming about roughly half of the consolidated total. Is that directionally correct?
Samantha Stoddard: Yes. That's directionally correct. So when you think about Europe and North America, how much is coming from each, it's about in line. We've seen, let's call it, an improvement of Europe. And unfortunately, because of some of the challenges in the North American market, a bit of a decline in North America year-on-year from an EBITDA standpoint. So that's the right way to look at it, Fiona. Thank you for the question.
Fiona Shang: And then one more. So if you were to sell your business and say you got probably 7.5 multiple like you did for Australia business, our math shows that it wouldn't really move to leverage that much so just wondering, can you provide more color on that, maybe both on deleveraging and liquidity?
William Christensen: Thanks for the question, Fiona. So clearly, we're not going to share any details of expectations. What I want to say is that if a decision made on the strategic review would be one that generates capital we would use that to deleverage and strengthen our balance sheet. And clearly, that is a focus that we've been talking about for a number of quarters to make sure that we are managing our balance sheet effectively. I think the second comment in that area is there's no liquidity issues. We have a revolver. We're expecting that we have ample liquidity. And so we're managing the process and evaluating all options as you would in a strategic review. And once we have more clarity on that, we'll be back to the capital markets share details.
Operator: Your next question comes from the line of Trevor Allinson of Wolfe Research.
Trevor Allinson: First one just on 4Q EBITDA guidance, the implied 4Q EBITDA guidance. The bottom end of that is roughly breakeven from an EBITDA perspective. That would be a pretty severe decline sequentially compared to what you guys are expecting from a revenue standpoint from 3Q to 4Q. Can you just talk about what's driving that big drop-off in EBITDA expectations sequentially? Anything more onetime in nature occurring in 4Q, then that wouldn't repeat going forward?
Samantha Stoddard: Yes. I can go through that. So a few things. When we initially guided out, we expected a nonseasonal Q4, so a much stronger Q4 in terms of both the volume as well as the productivity. And unfortunately, we are seeing, I would say, more of the seasonality that we've seen in previous years. So when we think about the range that we've guided to, you're correct on the low end of that range and that's tied to some of the uncertainty that we are seeing going into Q4. The last month of the year is generally for us, a very soft year with different holiday period, customer buying patterns. And so it's hard to predict on that. But I would say when you look at kind of the midpoint of our range and how we're guiding to the 2 biggest drivers, as I talked about earlier are the volume mix being, I would say, as down year-on-year as Q3 with maybe a little bit more of softness and then the price/cost negativity being almost double what we experienced in Q3. We are seeing cost inflation, of course, more in line with our expectations, maybe slightly higher, but more in line with what we expected. Unfortunately, the pricing realization is lower than expected, as we talked about earlier. So those 2 are, I would say, the biggest needle movers in driving. And then some of the base productivity is we need to rightsize our North America structure for the lower demand that did not materialize from the incremental gains we initially expected.
Trevor Allinson: Okay. That's very helpful. And then circling back to liquidity here, more near-term liquidity, assuming Europe takes some time to play out here and any actions potentially in your distribution business takes some time to play out. Is your expectation to lean into your revolver near-term, just given we're going into a slower part of the year. And then you also talked about potential for sale and leaseback actions. Any color on how much liquidity those actions could generate?
Samantha Stoddard: Sure. So in terms of liquidity, as we've talked about, we have not draw on the revolver to date. Our plans are to not draw on the revolver in Q4. We have not guided anything on 2026 nor are we providing guidance at this time. But from a liquidity standpoint, we are already working through some select sale leasebacks to provide additional liquidity as a buffer. And when you look at Q4, just in isolation outside of some of the cost measures or the cost actions that we are taking, which will have restructuring costs tied to it. We are driving to a free cash flow neutrality in Q4. So we are pulling back our CapEx. We are managing working capital in a much more, I would say, rigorous and disciplined fashion, and that would continue. So from a liquidity standpoint, we are taking actions on, let's call it, more select smaller pieces of our real estate portfolio. And I would say nothing to guide into '26 at this time.
Operator: [Operator Instructions] Your next question comes from the line of Steven Ramsey of Thompson Research Group.
Steven Ramsey: On the share gain that you expected to capture, would you say that opportunity is gone? Or is that something that you hope to get in '26 to greater fruition and then maybe if you could share any detail on the opportunity itself, if it was windows or doors or channel? Any color there?
William Christensen: Yes, Steven -- so definitely something that we expect that we're going to be able to target in 2026. A number of these things that we were targeting would be in the bucket of share we never should have lost, and I'm linking that to some challenging performance across our network, service levels, specifically and we felt we were ready to go and get it, but the market obviously took a step down in the third quarter and that was unexpected by our organization, and we were challenged by that headwind. So clearly, we're making great progress across our network, getting our service levels where they need to be, and we're going to be tackling this in 2026 on a different cost base, and we do expect as we've said, that there's not going to be dramatic changes in volume. So we're going to have to control what we can control, and that's what we're planning on doing in '26.
Steven Ramsey: Okay. That's helpful color. And then on the pricing pushback, I think you attribute it to large customers. Can you share any more detail on that pushback? And is this something that continues to impact in '26? Or does this impact the usual annual pricing actions that you would be taking as you would every year for 2026.
William Christensen: Yes. So there a number of different questions in that question, Steven. Let me just start with 2025 because that's what we're talking through and what we have visibility to. So as you've seen from our bridge, we're expecting roughly a $50 million price/cost headwind for full year in '25. And clearly, we can't continue at that rate. So we're taking a lot of actions addressing cost structure, driving efficiency and simplification to more effectively manage the headwinds going forward. It still remains a dynamic market with tariffs still, I would put it in the dynamic bucket with potential changes ahead. We know what we need to do in order to drive mitigation, and that's going to be our focus and already is our focus this year. And I don't want to guide or commit to anything that we'd be thinking through next year. But clearly, we know that we have a lot of homework to be done and it is a challenged environment. We can see consumers are still being very discretionary on larger ticket items, especially what we see through our retail partners. There's hesitation based on affordability and uncertainty, and that's continuing putting additional pressure, obviously, on the price side of the equation.
Operator: Next question comes from the line of Matthew Bouley of Barclays.
Anika Dholakia: You have Anika Dholakia on for Matt today. So I wanted to start off. I'm wondering how sales trended through the quarter and into October as we saw some interest rate relief. And similarly, how has mix trended as you see relief on the rate side. I'm wondering if people are willing to mix up and more broadly, what you think is necessary to improve the mix dynamics? I know mix is positive this quarter, but maybe it was more so a function of lapping easier year-over-year comps.
William Christensen: Yes. So let me take the first part. When we're thinking about kind of the rate -- the funds -- Fed funds rate decline and that trickling then down through. There's a couple of different dynamics. I mean there's huge pent-up demand. Obviously, there's a lot of home equity that's there but not being acted on because there is uncertainty. If we think about mortgage rates and where mortgage rates currently are and where they need to be to create some additional significant traction. I don't think we're yet at a point where we're going to see dramatic improvements. And again, you need to remember after the Fed funds rates decline, if it does flow through to the long end of the curve and mortgages are repriced, there is an expectation that doors and windows, especially if it's new construction or probably 6 to 9 months behind the start. So there clearly is a lag from rate reduction to products being purchased and built in to new homes. So don't expect a very close connect between rate reductions and volume increases on the new construction side of the business. I think in general, consumers still remain very cautious I said before to Steven's question, big ticket items are still very slow in the retail side of the business and the expectations are that this continues. We haven't seen a significantly different trend in October than we did through the third quarter. And so I think, to answer your question specifically, the Fed funds reductions did not move the needle for us in the month of October.
Anika Dholakia: Understood. That's helpful. And then second, I'm just wondering, you lowered the revenue guide for core. It's now down 10% to 13% from prior 4% to 9%. It seems to be largely driven by volume and mix as you look at the '25 guidance bridge. So just going back to that mix point, if you can separate how much is volume given you lowered the end market assumptions for both new construction and retail? And then how much is mix?
Samantha Stoddard: Yes. I can take that question. A very small portion of that is mix. I would say there's maybe small mix changes on the edges of some of the product groups. But we are expecting in the near-term, as Bill talked about, to be at a very low mix level. So we don't expect mix further down from where we are. But I mean, just in ballpark, I mean, it's more than 90% volume. It's a much bigger volume story than it is mix.
Operator: I'd now like to hand the call back to James Armstrong for final remarks.
James Armstrong: So thank you for joining our call today. If you have any questions, please reach out to me, and I'm happy to answer anything I can. This ends our call, and have a great day.
Operator: Thank you for attending today's call. You may now disconnect. Goodbye.